Operator: Good morning. My name is Stacy, and I will be your conference operator today. At this time, I would like to welcome everyone to the United Fire Group’s First Quarter 2013 Financial Results Conference Call. I would now like to turn the call over to Anita Novak, Director of Investor Relations.
Anita Novak: Thank you, Stacy. Good morning, everyone, and thank you for joining this call. Earlier today, we issued a news release on our results. To find a copy of this document please visit our website at www.unitedfiregroup.com. Such releases will be located under the Investor Relations tab. Our speakers today are Randy Ramlo, President and Chief Executive Officer; Mike Wilkins, Executive Vice President; and Dianne Lyons, Vice President and Chief Financial Officer. Other members of our executive team are also available for the question-and-answer session that will follow our prepared remarks. Please note that our presentation today may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. The company cautions investors that any forward-looking statements include risks and uncertainties and are not a guarantee of future performance. These forward-looking statements are based on management’s current expectations and we assume no obligation to update them. The actual results may differ materially due to a variety of factors, which are described in our press release and subsequent SEC filings. Please also note that in our discussion today, we may use some non-GAAP financial measures. Reconciliation of these measures to the most comparable GAAP measures are available in our press release and subsequent SEC filings. At this time, I’m pleased to present Mr. Randy Ramlo, President and Chief Executive Officer of the United Fire Group.
Randy A. Ramlo: Thank you, Anita. Good morning, everyone, and welcome to United Fire’s first quarter conference call. I’m pleased to report another solid quarter for United Fire, operating income was $0.84 per share, net income was $0.88 per share and our combined ratio was 90.3%, a more than three percentage point improvement from the same quarter last year. Book value at the end of the quarter improved by $1.11 or 3.8% and our annualized return on equity was 12%. Net written premiums in the Property and Casualty segment increased 7.6% during the quarter, while earned premium increased 10.9%. Commercial lines pricing increased slightly in most regions of the country with average increases in the mid-single-digits on most small and mid-market accounts and double-digit increases on underperforming accounts. This is the sixth consecutive quarter of commercial lines pricing increases. Our personal lines pricing environment has seen consistent mid-single-digit increases for homeowners. In our personal auto lines we have implemented additional predictive analytics, which we anticipate will improve the long-term profitability in this line of business. Competitive market conditions continue to ease on renewals, but persistent on new business during the quarter. Nonetheless, premium written from new business remain strong, up slightly from the prior quarter at the same quarter a year ago. Our success ratio on audit accounts also remain strong, as new business pricing edge is slightly higher. The economy continues to strengthen slightly. Premium from policy changes and premium audits continue their positive trends, although, both are down slightly from the prior quarter. Policy retention remained strong for both personal and commercial lines of business with over 82% of our policies renewing. This is up slightly from the prior quarter. In the Life segment, its business is usual. We continue to concentrate on our single-premium whole life product. Premiums earned were down due to a drop in our income annuity premium. We analyze our investment opportunities and set our crediting rates so that we’re able to meet our required spreads. Right now, those rates are less competitive and as a result there is less demand for our fixed annuity product. We’re okay with this; we would rather have less sales than inappropriately priced products. Income from the sale of single premium whole life and another traditional life products was not sufficient enough to offset the loss of annuity premium during the quarter. Loss and loss settlement expenses increased $1.2 million in the quarter, due primarily to death claim benefits. Claims from quarter-to-quarter and year-to-year can be volatile. So unless we see a trend developing over multiple quarters, we’re not overly concerned. Net income for the Life segment continues to decline due to a continuing lower interest rate environment. We do not see the trend improving any time soon. Getting back to the property and casualty operation. Our expense ratio for the quarter was 33.7%, which is an improvement of 0.6 percentage points as compared to the first quarter of 2012. However, we anticipate our expense ratio will decrease somewhat by year-end. This quarter is directly affected by an increase in our accruals or contingent commissions and the increase in deferred commissions and an increase in our retirement benefits. We continue to actively and persistently monitor this metric for improvement. Mercer Insurance Group conversion continues as we enter the last phase of the integration process. We believe the process is going quite well and we are not expecting any issues to rise from that venture. As a side note, we’re pleased to announce that we were again chosen by Forbes magazine as one of their 100 most trust worthy companies. Before turning the discussion over to Mike Wilkins, I’d like to address the topic of capital management. During the first quarter of 2013, we declared in pay the $0.15 per share dividend to shareholders of record on March 1, 2013. We have paid a quarterly dividend every quarter since March 1968. In the three month period ended March 31, 2013, we did not repurchase any shares of our common stock. We are authorized by the Board of Directors to purchase an additional 1,129,720 shares of common stock under our share repurchase program, which expires in August 2014. However, at this time we believe the best use of our excess capital is further expansion of profitable growth opportunities. With that, I’d like to turn the discussion over to our Executive Vice President, Mike Wilkins.
Michael T. Wilkins: Thanks, Randy. I’d like to expand on Randy’s discussion just a bit. Net written premiums on our commercial lines increased 8.5% during the first quarter; the lines experiencing the greatest amount of increase were the Fire and allied lines, which would include commercial multiple peril and inland marine and workers’ compensation. Fire and allied lines business increased by 16.6% and workers’ compensations increased by 18.6%. Our net written premiums in our personal lines actually declined slightly 0.8% due to rate adjustments as a result of predicted analytics and evaluations. Fire and allied lines declined 1.4% and personal auto increased slightly at 0.5%. Net written in the assumed reinsurance line of business increased 2.7% and overall net written premiums increased 7.6% during the quarter. We believe rate increases continued to exceed lost cost trends overall, we believe average loss trends for the industry are currently approximately 3%. The organic growth recognize in the first quarter consisted of 77% rate increases, 14% new business and 9% net premiums from audits and endorsements. We continue to retain approximately 82% of our policies; premium retention however, has increased to approximately 85% for the quarter due to rate increases initiated in 2012. Frequency trended downward in the first quarter of 2013 compared to the first quarter of 2012, and severity was down significantly in the first quarter, but we attribute that to the impactful number of large property claims in the first quarter of 2012 due to the brands in tornado. Overall, we do not believe frequency or severity trends are of major concern at this time. Superstorm Sandy had an impact on the fourth quarter of 2012 results. However, 91% of the 2,750 claims incurred have been settled and closed. There will be no impact from Superstorm Sandy in 2013. With that I will turn the financial discussion over to Dianne Lyons.
Dianne M. Lyons: Thank you, Mike. Consolidate net income was $22.4 million compared to net income of $19.2 million in the first quarter of 2012. The increase was driven primarily by growth in property and casualty premium revenue unless catastrophe activity in the quarter. As you may recall, last year this time where we reporting the results of the EF5 tornado that struck Branson, Missouri in February. Catastrophe losses for the quarter totaled $4.5 million compared to $14.1 million for this quarter in 2012. Again that the contributing factor was the Branson, Missouri tornado in 2012. First quarter catastrophes generally average approximately 2.9% percentage points of our combined ratio, which is consistent with our first quarter 2013 results of 2.8 percentage points. In the past, we have not reported prior year reserve development; however, we will be presenting this information in total on a quarterly basis going forward. For the first quarter of 2013, we reported favorable reserve development of $23.7 million or $0.61 per share. These results are consistent with results from first quarter 2012. I’d like to remind investors that there is a great deal of volatility from quarter-to-quarter and year-to-year and a reported amount of prior year reserve development due to the fact that reserve development occurs and is affected by the timing associated with the settlement of claim. In first quarter 2013, our total reserves remained relatively flat and within our actuarial estimate. Loss and loss settlement expenses increased 6 million or 6.5% compared to first quarter 2012, due to the added exposure from increased premium volume. Consolidated investment income was $26.5 million, or a decline of 9.2%, as compared to $29.1 million a year ago. The decline is attributable to continuing weakness in the economic environment and as Randy said, we don’t expect this condition to change any time soon. The weighted average effective duration of our fixed maturity securities portfolio at March 31 was 4.3 years, compared to four years at December 31. Total return for the equity portfolio was 11.36%, compared to 10.58% for the S&P 500. Net realized investment gains for the quarter totaled $1.9 million, compared to $2.8 million in 2012. Net unrealized investment gains totaled $152.7 million as of March 31, which is an increase of $8.6 million net of tax since December 31. This is a result of an increase in the fair value of our equity portfolio. Fixed maturity portfolio experienced unrealized investment losses for the quarter. Our stockholders equity increased 4% to $758.1 million at March 31, from $729.1 million at December 31. Our book value per share increased $1.11 per share or 3.8% to $30.01 at March 31, from $28.90 at December 31. And with that I’d like to open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) Thank you. Our first question comes from Neil Cybart with KBW. Please proceed with your question.
Neil Cybart – Keefe, Bruyette & Woods: Good morning, everyone.
Randy A. Ramlo: Hi, Neil.
Dianne M. Lyons: Good morning.
Neil Cybart – Keefe, Bruyette & Woods: Thank you for having this call. I think it’s a great decision going forward. I’ll start with expenses. Can you quantify what level of year-over-year expense savings you are seeing from Mercer synergies?
Dianne M. Lyons: Neil, this is Dianne, and I don’t have that information with me. I can tell you as far of the increase in the expenses that $1.4 million of that came from pension and postretirement benefit expenses and the remainder came from amortization of expenses that we deferred last year. But I will get the information for you as far as what the savings was on the Mercer transaction.
Neil Cybart – Keefe, Bruyette & Woods: Thank you. And are you still expecting year-over-year improvement in the expense ratio, correct?
Dianne M. Lyons: Yes, we are.
Neil Cybart – Keefe, Bruyette & Woods: Okay. Switching over to reserve development, I know you preferred to look at the data more in a longer term basis versus quarter-over quarter swings. But I do think that new disclosure is a good decision. Would you also happen to have the first quarter 2012 development on $1 basis?
Dianne M. Lyons: We do not – we did take a look at that and calculated it based on this method of splitting the IBNR between accident year, and it was very similar to what we reported. We chose not to go ahead and report that as we had not used that method, back in the first quarter of 2012.
Neil Cybart – Keefe, Bruyette & Woods: Okay. I understand...
Dianne M. Lyons: Going forward this year, we’ll only be reporting 2013 quarterly development.
Neil Cybart – Keefe, Bruyette & Woods: Okay. The workers comp loss ratio seems to be elevated very similar to that of 2012, is that just really the continued trend of increased severity in that line, is there any change to frequency in workers’ comp?
Randy A. Ramlo: Neil this is Randy. One of the big reasons the two quarters changed as much as they did was last year 2012 we had anomalistically great first quarter. We probably had some reserves take down in the first quarter. So, if you look at the pure loss ratio for 2013, it’s 50-something, which is right in line where we will like to see it. Severity is not an enormous issue since 2013. Frequency has been about similar. We are writing some additional workers’ compensation, which is actually one of our growth strategies. We’ve identified a dozen or so workers’ compensation classes to write more off classes traditionally that we’ve done very well on, that are receptive to loss control and that we have a lot of experience with them that we want to write the rest of the packages with it. So far that’s been very successful and so far we’re pleased with where the loss ratio has been in the first quarter. Mike, do you have any additional comments you want to make on that?
Michael T. Wilkins: No. The only additional thing I would – the only additional comment I would make is, if you looked at our first quarter loss ratio for work-comp it was better than our full year loss ratio for 2012. So we didn’t have any concerns about where the first quarter came in. We also track pretty closely. One of the things we look at is the ratio of the number of claims compared to written premium and that ratio continues to go down. So we’ve – and we feel pretty good about work-comp right now. It’s certainly not a line we’re concerned about.
Neil Cybart – Keefe, Bruyette & Woods: Okay. Thank you. And my final question has to do with competition, as you mentioned, you are seeing continued competition on new business. Are you seeing a significant different between rate you’re able to get for renewals and new business account, so I’m thinking especially for your more attractive accounts?
Michael T. Wilkins: We used to, going back a year or two, we track that difference in them. At one time the market was softer, there was a sizeable gap between the pricing that required for new business versus renewal and that gap as of about a year ago had really come to close and we didn’t look at that this year. But we’re just getting kind of a feeling from all of our regions that it’s getting a little bit harder to write new business. But I would be surprised if the difference between renewal pricing and new business is very large right now.
Neil Cybart – Keefe, Bruyette & Woods: Okay. That’s it for me. Thank you for the call.
Michael T. Wilkins: Thank you, Neil.
Operator: Thank you. Our next question comes from Paul Newsome with Sandler O’Neill. Please proceed with your question.
Paul Newsome – Sandler O'Neill & Partners L.P.: Good morning, everyone.
Randy A. Ramlo: Hi, Paul. Good morning, Paul.
Dianne M. Lyons: Good morning.
Paul Newsome – Sandler O'Neill & Partners L.P.: I was hoping you could expand upon the comment related to the use of excess capital. And maybe kind of walk me through how you think about the numbers? And I want to give some context to it. If you are growing about 10%, which is what it would look like, that would suggest given where your ROE is, about half of that should be self funding. And then if I look at your premiums to equity type ratios, just the simple stuff, it looks like you are still sitting on a fairly substantial amount of excess capital. I recognized a fair amount of that is tied up in the Life business that doesn’t have much in ROE. But it would seem like you’ve got plenty of excess capital to do buybacks and it would also look like that there is still fairly accretive at least to the ROE. So, how do you think about that yourself and how do you think about the hurdle rates there.
Randy A. Ramlo: Well...
Paul Newsome – Sandler O'Neill & Partners L.P.: And let me know if I’m wrong.
Randy A. Ramlo: I don’t know about, you know, I think we’ve mentioned to you, we are starting to pay more attention or develop in-house capital model and looking at where (inaudible) trying to analyze what is an adequate amount of capital. We are always going to be very conservative. Obviously, we don’t think we can ever have another Katrina event, but after having lived through something like that, so, we will probably always here on the side of being conservative on the amount of capital that we have. Buying back shares of stock, I think, is kind of some of the last resort for capital use. I think dividends are better use of excess capital and certainly, obviously, writing new businesses we think is the best. But our stock prices appreciated pretty nicely. You know we were pretty actively buying $20 below, and that has rebounded considerably now. So it’s probably a lot less accretive than it was before. And at least for right now, we see a lot of opportunities for organic growth, and we just think that’s the best use of the excess capital that we have. Mike or Dianne, do you have any additional comments?
Dianne M. Lyons: No further comments.
Michael T. Wilkins: No.
Paul Newsome – Sandler O’Neill & Partners L.P.: Do you have a particular hurdle rate other than just accretive to book that you are looking at?
Randy A. Ramlo: We don’t disclose that, Paul.
Paul Newsome – Sandler O’Neill & Partners L.P.: Do you have it internally?
Randy A. Ramlo: Yes.
Dianne M. Lyons: Yes.
Paul Newsome – Sandler O’Neill & Partners L.P.: Thanks. That’s it from me today.
Randy A. Ramlo: All right. Thanks, Paul.
Operator: Thank you. Our next question comes from [Jerald Bow], Private investor. Please proceed with your question.
Unidentified Analyst: Yeah. Hi. I was looking through your proxy, and I saw your bonus targets. Your upper level bonus target is 16% ROE, which, based on your beginning year book would be over $4.50 a share for this year, which more than doubles the two analysts that you guys have, their expectations for the year. How realistic is that number achievable for you guys?
Randy A. Ramlo: Well, I think it kind of depends on the market cycle. I think that’s 16%, if you look traditionally, that is probably the most attainable in fairly hard market environments in the property and casualty business. So we don’t make many adjustments to our bonus plan. It’s kind of setup to be useful in both soft market and hard market times. So obviously the market, we talk a little bit about pricing. The pricing environment is pretty good right now and, we hope that will last throughout the rest of this season. But I think that upper end ROE would probably come in a time where we would consider it a hard market, and we’re not quite there yet.
Unidentified Analyst: Okay. Thank you.
Randy A. Ramlo: Thank you. Thanks for the question.
Operator: Thank you. Our next question comes from Jim Agah with Millennium Partners. Please proceed.
Jim Agah – Millennium Partners: Good morning, guys. Thanks for hosting the conference call and for taking my questions.
Randy A. Ramlo: Certainly
Jim Agah – Millennium Partners: Can you speak about the commentary referred to in the press release about predictive analytics and the use thereof, and how that might be impacting? I think it’s the automobile lines?
Randy A. Ramlo: Yeah. I think, Mike Wilkins handles our personal lines area. Maybe I’ll turn that question over to him.
Michael T. Wilkins: Yeah. Jim, what we’ve done with predictive analytics, is kind of our next generation, we’ve had predictive analytics in use for probably 10 years in the first-line of space. What we’re implementing now, what we’ve done is, we’ve added a few more data items, we feel like we can significantly improve our risk segmentation. The impact of that is your better risks, the prices are going down. And your worse risks, the prices are going up, and some time substantially. So some of that business is leaving, going to competitors that don’t have the level of sophistication in the predictive analytics. We think that’s a good thing, but in the short-term, it can impact your written premium, your top line. So over the long-term, we think it will be good. We’ve already seen in some areas where we’ve implemented this. We’ve seen some pick up in submissions for those quality risks. But we are loosing some of the stuff that we have segmented as lower quality out the back door.
Jim Agah – Millennium Partners: Good. So if you look year-over-year for the first quarter, net premiums are still up in personal auto, you would expect that, that growth if you will to sort of roll over a bit then?
Michael T. Wilkins: Correct. Yeah.
Jim Agah – Millennium Partners: All other things being equal.
Michael T. Wilkins: Yes.
Jim Agah – Millennium Partners: Okay, okay. And so what was the average rate increase on that line?
Michael T. Wilkins: On average, we implemented a rate neutral. So overall it was very neutral, but as I mentioned, the better risk the price went down, and we’re retaining those. And then some of the ones that we increased the rates, and especially the ones we increased substantially we have lost those at renewal. They’ve gone to competitors. But we think that’s good for us.
Jim Agah – Millennium Partners: Good. Good. And then, if you compare the year-over-year loss ratios, Randy talked a little bit about workers’ comp and now Q1 ‘12 was abnormally low and how – I guess there is a couple individual losses which are kicking up the loss ratios for workers’ comp, this year’s first quarter, but in general commercial lines were, loss ratios were down a couple of points versus last year. There is some difference in the line items again though like fire and allied, I think you talked about the strength in underwriting there, that loss ratio was greatly improved. And on a personal line side, it was much higher this quarter. Any further color on those?
Randy A. Ramlo: On the fire and allied lines last year we had much more cat activity versus this year. On the personal line side, we have had a couple storms this spring, we’re talking about Branson last year, it impacted commercial fire and allied lines, but that was almost all commercial business in Branson though that had the losses. This year we’ve had a couple of cats in particularly Louisiana and Texas that have impacted the personal lines, but not so much the commercial lines, so just you know it’s more fortuitous events. I’d say the same thing with worker comp, with just one quarter, when people get hurt tends to be a bit random, and last year we had a stellar first quarter, this year we had a good first quarter, but not as good as last year.
Jim Agah – Millennium Partners: Okay. And then how about on the investment portfolio, what do you think in terms of new money yields and where are you allocating dollars right now?
Barrie Ernst: Yeah, this is Barrie Ernst the Chief Investment Officer. The new money is – we allocated by the $130 million in the first quarter and about 105 million went into CMOs and structured products. So we’re not taking a lot of risk on the credit side as a matter of fact we’re probably upping our credit a little bit and maybe increased our duration quarter over year. So we’re just not going to make any mistakes on the credit side of the portfolio right now. So that’s basically what we did in the first quarter.
Jim Agah – Millennium Partners: And where does the duration stand now on the fixed income side of the portfolio?
Barrie Ernst: 4.27 for the combined light and P&C.
Jim Agah – Millennium Partners: Okay.
Barrie Ernst: Broken down the duration on the P&C is 4.39 years, on the light it’s 4.18 years.
Jim Agah – Millennium Partners: Great. Thank you, guys. I’ll get back in queue.
Randy A. Ramlo: Thanks Jim.
Operator: (Operator Instructions) It doesn’t look like there are any further questions at this time. I would like to turn the floor back over to management.
Anita Novak: Thank you, Stacy. This now concludes this conference call. As a reminder, the transcript of this call will be available on the company website at www.unitedfiregroup.com. On behalf of the management of United Fire Group, I wish all of you a joyous day.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time.